Operator: Good morning, ladies and gentlemen and welcome to the Goodfood Q2 of Fiscal 2025 Earnings Call and Webcast. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, April 22 at 8:00 a.m. Eastern Time. Furthermore, I would like to remind you that today’s presentation may contain forward-looking statements about Goodfood’s current and future plans, expectations and intentions, results, level of activity, performance, goals or achievements or other future events or developments. As such, please take a moment to read the disclaimer on forward-looking statements on Slide 2 of the presentation. Please be aware that during the call, presenters will refer to certain metrics and non-IFRS measures. Where possible, these measures are identified and reconciled to the most comparable IFRS measures in our MD&A. Finally, let me remind you that all figures expressed on today’s call are in Canadian dollars, unless otherwise stated. I would now like to turn the meeting over to your host for today’s call, Jonathan Ferrari, Goodfood’s Chief Executive Officer. Mr. Ferrari, you may proceed.
Jonathan Ferrari: Thank you. [Foreign Language] Good morning, everyone and welcome to this call for Goodfood Market Corp. to present our financial results for the second quarter of fiscal 2025 ended March 8. I am joined on the call today by Neil, Goodfood’s President and Chief Operating Officer; and Ross, Chief Financial Officer. This morning, we announced our Q2 results. You can find our press release and presentation on our website and SEDAR+. All figures on today’s call are in Canadian dollars unless otherwise noted. Let’s start with Slide 3. In Q2, we’re encouraged to have delivered positive adjusted EBITDA for the ninth consecutive quarter, showcasing the durability of our business and financial model despite significant economic headwinds. Adjusted EBITDA for the quarter was $1 million, representing a 4.5% margin. Within a softer top line and consumer spending environment, this continued margin performance reflects the adaptability of our operations, the soundness of our strategic priorities and the nimbleness of our cost structure. Our gross margin also remained strong at 43%, even with macro pressures impacting volumes. This was supported by cost efficiencies and process optimization, which helped mitigate seasonal declines in customer orders. In Q2, our customers’ baskets reached an all-time high, driven in large part by enhanced digital experience features like protein customization and more intuitive add-on flows, which made it easy for customers to build larger baskets. Goodfood members can more easily browse our full selection of delicious meals, size, desserts, appetizers and more, driving more portions and products being added in each basket. In recent weeks, we launched our new Heat & Eat line, a ready-to-eat offering available in select geographies. Early reviews have been strong, and the Heat & Eat meals that can be ready in two minutes are helping meet the growing demand for high-quality, healthy and ultra-convenient meals. We’re also proud to share that we officially achieved B Corp certification, a powerful recognition of our ongoing commitment to ethical business practices and environmental stewardship. The certification, a culmination of years of our team’s hard work is a customer-facing testament to our commitment to continuously enhance our social and environmental performance, accountability and transparency, all of which are important for our customers, our employees and the communities we service. With all of this in play, we believe the business is firmly positioned to continue executing on both our core organic and inorganic growth pillars. Ross will now walk you through our financial performance.
Roslane Aouameur: Thank you, John. Let’s begin on Slide 4 with our sales and customer metrics. Net sales for the quarter totaled $30.5 million, a 23% decline year-over-year. This drop primarily reflects a lower active customer count resulting from a more pronounced holiday seasonality, cautious post-holiday consumer spending and general macro headwinds. While the headwinds were strong, we continued our focus on higher-value customers requiring less incentives and displaying stronger unit economics, which helped us achieve record net sales per active customers of $363, a substantial increase from the $327 in Q1. Active customers ended the quarter at 84,000, down from Q1, driven by the aforementioned lower consumer spending and align with our focus on customers with better unit economics. Overall, these figures underscore the challenging holiday seasonality we experienced and the muted post-holiday spending environment and very low consumer confidence. While we recognize the challenges brought about by a lower net sales basis, the results also underscore our ability to drive more value per user with fewer promotional incentives leading to healthy margins as we will see on the next slide. I will now turn to Slide 5 to review our profitability level. This quarter, gross profit reached $13 million with a 42.6% gross margin, relatively flat compared to last year despite the fixed costs being amortized on lower order and sales basis. This was achieved through lean operations and supply chain diversification, lowering food costs in an inflationary environment. Strategic efficiencies in our fulfillment process also drove lower labor unit costs and reductions in packaging unit costs, which contributed meaningfully to this result. Adjusted EBITDA came in at $1.4 million, reflecting the enduring strength of our cost management framework. While this is lower than the figure posted in Q2 last year, we are encouraged by the operational agility and financial discipline built, which helped us effectively navigate the substantial seasonal and macroeconomic challenges that occurred this quarter. Our teams relentlessly embed continuous improvement principles across the business, diving sustainable efficiency gains and providing an increasingly resilient level of profitability, ready to face a wide array of economic scenarios. Now moving to Slide 6 to review cash flows. Cash flow used in operations was $1.2 million, primarily driven by lower net income and timing differences in SG&A payables. Capital expenditures remained modest at $0.4 million, with spend concentrated on compliance upgrades at our Montreal facility, which are now more than half completed. Adjusted free cash flow was negative $1.5 million compared to positive $0.3 million in the prior period. Despite the quarter’s challenges, our liquidity remained solid with $19 million in cash and marketable securities. Also noteworthy from a balance sheet perspective was the repayment in shares of our 2025 convertible debentures shortly after the quarter ended. This further deleverages our balance sheet and reduces risk while supporting strategic capital flexibility moving forward. Turning to Slide 7, which summarizes our key financial highlights for the quarter. Overall, we maintained a gross margin of nearly 43% and delivered our ninth consecutive quarter of positive adjusted EBITDA, reinforcing the strength of our cost structure and unit economics and underscoring the efficiency of our operating model. While our adjusted EBITDA margin declined year-over-year to 4.5% as net sales declined, it remained stable relative to Q1. We attribute this resilience to a balanced approach, investing in physical and digital product enhancements and customer experiences that deliver solid returns while remaining very disciplined on cost. Our total net debt to adjusted EBITDA ratio is now at a manageable 3 turns after the repayment in shares of our 2025 debentures. Our capital structure is healthier, and we retain the flexibility to support growth when the current headwinds subside. With that, I’ll turn it back to John for outlook.
Jonathan Ferrari: Thanks, Ross. Let’s now look ahead on Slide 8. As we chart our path forward, our organic value drivers are squarely focused on enhancing the customer experience and growing responsibly. A standout initiative in recent weeks has been the launch of our Heat & Eat meals, a major expansion in our product mix and addressable market that caters to time-sensitive consumers without compromising quality. These delicious meals have seen strong early adoption as we are selling nearly 1,000 meals a week only in Quebec and without any advertising. The quality and convenience of the meals has also translated into strong satisfaction rates. Members have shared growing feedback with ratings averaging 4.6 out of 5, an early validation of our decision to invest in this segment. We are actively working to expand the lineup of recipes and delivery zones, making these nutritious and convenient options available to more households across Canada. Turning to the ready-to-cook side. Goodfood’s Head Chef, Jordana, and her team have traveled the world to bring back authentic global flavors, ingredients and cuisines to our customers’ homes. This has led to the creation of the limited edition Goodfood Travels kits, allowing home chefs to experience firsthand the cuisine of Oaxaca in Mexico or Thailand, Vietnam and Southeast Asia. As we continue to explore the world and bring it back to Canadians coast-to-coast, we look forward to continuing to bring flare and global discovery to our menu. In parallel, we also continue to grow our value plan, which remains an attractive point of entry for new customers and a useful tool to drive upsell into our broader recipe portfolio. On the Genuine Tea front, the organic craft tea brand that we acquired in November. We continue to be impressed with the performance of the business as it exceeds our expectations. Since its acquisition, the brand has achieved top line growth nearing 30% to 40% year-over-year while sustaining EBITDA margins in the teens. Genuine Tea has had important wins this quarter, onboarding multi-location cafe brands like Purebread Bakery in British Columbia and growing matches sales 100% year-over-year at Whole Foods. Genuine Tea also reported benefiting from the Buy Canadian movement as it is increasingly serving as an alternative to U.S.-based tea brands. We are enthusiastic about the overall performance of our first acquisition and now have the blueprint for our acquisition strategy, growing founder-led, profitable and value aligned businesses with omnichannel potential. As we think of the future of our company, we envision a structure in which Goodfood, Genuine Tea and future acquisitions operate under the umbrella of a parent company, benefiting from the networks and expertise we have developed over the past 10 years. In fact, this model is already unlocking strategic synergies from shared logistics to fulfillment capabilities. We’re excited by the runway Genuine Tea presents and our deepening integration to maximize its impact. This acquisition is not just about a great product. It represents our first step towards building a curated portfolio of next-generation brands that deliver delight and profitability. We will continue to be disciplined in this effort, seeking scalable and sustainable assets that enhance our ecosystem. As part of our ongoing mission to create value responsibly, we are incredibly proud of the – to have achieved B Corp certification, a recognition that places Goodfood among a global community of businesses committed to high standards of social and environmental performance. This milestone reinforces our dedication to sourcing locally. 100% of our ingredients come from Canadian suppliers with 70% directly from local farms and to reducing our environmental footprint through initiatives like carbon-reduced supply chains and resource-efficient operations. B Corp status validates the steps we have taken across all aspects of our business from governance to sustainability and serves as a public commitment to improving the future of our planet while delivering fresh, high-quality meals Canadians can feel good about. On the treasury side, we now hold the equivalent of 22.3 Bitcoin through the ETF as part of our Bitcoin treasury reserve strategy. This strategy aims to preserve long-term value, hedge against inflation and diversify capital deployment. While the majority of our liquidity remains in conventional instruments, we believe this is a prudent and value-creating strategy given the current macro environment. In closing, as we enter our 11th year in business, we are energized by the quality of our offerings, the passion of our team and the clarity of our strategy. Whether it’s through meal kits, Heat & Eat meals or strategic acquisitions, Goodfood is laying the groundwork for long-term differentiated success. Thank you for joining us. I will now pass it to the operator for questions.
Operator: [Operator Instructions] And your first question comes from the line of Martin Landry with Stifel. Please go ahead.
Martin Landry: Hi. Good morning guys. I would like to get more details on your customer count. The decline of 22,000 customers – active customers during the quarter is a bit concerning. I am sure that you are conducting exit surveys with your customer. And I wondered, what are the reasons that are cited by your customers when leaving? Are they going to competitors? Are they disconnecting because they don’t see the value in your offering? Can you just elaborate a little bit as to why there is so much customer erosion right now?
Jonathan Ferrari: Good morning Martin. So, the main factor behind the decline in the active customer count is actually order rates related. So, we have actually seen an improvement in customer churn rate like cancellations or canceled customers that has improved like year-over-year, and we have continued to see the improvement into Q3. But the lower seasonal order rates in December and then lower order rates that continued in January was the driver of the reduced active customer count in the past 90 days. So, it’s less about the cancellations and more about more – less activity within the customer base or reduced order rates.
Martin Landry: Okay. And sorry, what is the – okay and then have you been able to onboard some customers during the quarter?
Jonathan Ferrari: So, yes, we have continued to like, acquire new customers. And then from a churn perspective, we have made some improvements both quarter-over-quarter and year-over-year. From a customer acquisition cost perspective, we have seen like a small reduction year-over-year in customer acquisition cost. So, it’s kind of – if we look at the full metrics of our unit economics, I would say CAC is relatively stable, a little bit down. Churn has improved fairly significantly through the initiatives we were talking about of like the product portfolio improvement, digital experience improvement, reducing friction from the customer experience and ease of subscription management. But the order rate is really what’s been driving both the decline in sales year-over-year as well as the reduction in the active customer counts, but that’s the key driver right now.
Martin Landry: Okay. And maybe to dig in a little bit more. So, why is it that customers are not ordering as much as they used to?
Jonathan Ferrari: So, I would say, as we were seeing the numbers come in, in December, we were assuming more pronounced seasonality in December. The way in which the holiday period fell this year, it impacted more Monday deliveries than it did last year, which has a more pronounced impact on the reduction in order rates seasonally because kind of Sundays and Mondays are the biggest delivery days for Goodfood. And then in January and February, we saw like continued customer acquisition and the impacts on CAC that I mentioned, but the order rates didn’t pick up as much as they have in prior years seasonally. And we are attributing that to the – partially to the consumer spending environment and the tariff situation that was, I guess started to pick up in February. We – our supply chain is not directly impacted by the tariffs really, given the fact that most of what we are sourcing at Goodfood is Canadian, and our sales are primarily in Canada. Genuine Tea has maybe 10% of sales into the U.S., so it’s quite small. But the general uncertainty in the market that was building up from a macro perspective in – late in 2024 and then exacerbated by the tariff situation in early calendar Q1. The combination of those items really have created a lot of uncertainty within consumer spending in our customer base, and that’s where we have seen backing off on the order rates. The flip side is, we talked a little bit about basket sizes. We have been working to grow the basket size of the average customer order and making it easier for customers to add, whether it’s Heat & Eat meals or other add-ons to their baskets. So, partially, it’s been offset by some better basket sizes that improves both profitability and AOV. But certainly a challenging – it’s been a challenging environment. As we look into our fiscal Q3, we are seeing some stability in the customer count, which is good. The order rates remain lower than in this time last year, but we are seeing some stability, I guess both in the order rate quarter-over-quarter, but also in the customer count.
Martin Landry: Okay. Well, that was my next question, it was about Q3. So, it sounds like things are stabilizing a little bit, because I mean at some point, with your sales declining like we are seeing today, your fixed cost absorption erodes a little bit, I guess it worsens and we are seeing it on your margin on a year-over-year basis on your EBITDA margin. So, by the sound of it, when you are seeing stability in your customer count, does that mean that we could expect your customer count to be stable sequentially in Q3?
Roslane Aouameur: Yes. Hey Martin, it’s Ross here. I think in Q3, at least what we have seen so far is that from an order rate perspective, there is stability, which means that on the subscriber side, there is stability, this should translate into active customers, so customers who have placed an order within the quarter to be stable. Of course, we are halfway through. So, there is quite a bit to go – like, halfway through, so quite a bit to go in the quarter, but I think we can expect some stability on that front if order rates continue to be stable for the remaining weeks in the quarter. And maybe to go on – make a comment on your margin comment. I think we have worked very hard and we are able to variabilize if you allow me the expression, a good chunk of our COGS so that we are still able to keep gross margin at a healthy level. I think on the SG&A side is when there is – when there is a net sales basis that evolves and declines is where there is opportunities that we want to make sure we are investing in the right areas and see if there is areas where there is room for improvement. So, that’s something we will continuously look into. So, I think from a gross margin perspective, there should also be stability. And then on SG&A, we will look for improvements throughout every day, every week, every month.
Martin Landry: Okay. Super. Thank you and best of luck.
Roslane Aouameur: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Frederic Tremblay with Desjardins. Please go ahead.
Frederic Tremblay: Thank you. I just wanted to ask on the ready-to-eat offering. I mean this is a category that you have been involved in, in the past, and there has been a few iterations of it. I am just wondering if there is anything different this time around that gives you the confidence that this will be successful and sort of how much of a focus that is versus ready-to-cook. A while ago in the industry, there seemed to be a bit of a shift towards ready-to-eat. Is that something that you are trying to pivot to in a meaningful way, or is it more of a complementary offering overall?
Jonathan Ferrari: Good morning Fred. So, yes, the ready-to-eat segment is something that we have played around with in the past. We have some pretty significant learnings from those previous initiatives that we are able to apply to our current Heat & Eat offering. One is we have made the decision to prepare and cook the meals in-house within our facilities versus working with suppliers. In the past, what we saw is both the quality and the margin profile of the products that were prepared by third-party suppliers had trouble reaching consistency and traction within our customer base. So, we believe bringing that production in-house is better both economically and from a customer experience perspective. So, effectively, what we have done in the Montreal facility is convert a portion of our space into Heat & Eat production space. We are seeing strong demand in the market for these types of meal solutions. It’s a product that’s very convenient, easy to prepare, and it’s really differentiated from what you would find on Uber Eats or DoorDash because of the health profile of the product, so it’s healthy, it’s delicious, and it’s significantly cheaper than any type of restaurant delivery. So, those are some of the things we are seeing in the market. It does look like it’s a growing segment, which is the reason why we feel it’s important for Goodfood to grab a piece of that growing segment. And then the other piece I would add is we are building it within the Goodfood customer experience. So, our intent is to make it easy and seamless for customers to mix and match ready-to-cook and Heat & Eat products. And some of the behavior that we are seeing is for customers to be ordering the Heat & Eat products in addition to their ready-to-cook products, which is helping grow the basket sizes. At this point, it’s still a small selection, and it’s a very regional focus within certain parts of Québec. So, we are early days, but we are quite pleased with the traction so far. We are delivering more than 1,000 meals per week and the customer ratings and reorder rates are encouraging. Ross and Neil, I will pass it to you if there is anything else you would like to add about the Heat & Eat segment.
Neil Cuggy: Yes. Maybe just one thing, Fred, obviously one of the learnings that we have had is how to amortize the G&A of the facilities and of the team. So, we have been much more integrated from a supply chain perspective and an operations perspective in this recent launch, which has helped on getting the gross margin up a lot faster while maintaining that quality experience that Jon just mentioned. And so far, customers are really happy and the team is extremely motivated.
Frederic Tremblay: Thanks a lot. Appreciate the color. Maybe a question on supply with everything going on in the U.S. trade policies, I know you guys are very local focus as it relates to your sourcing. But has there been any impact whether on availability of supply or perhaps inflation from even locally from the current macro environment, or is it business as usual, tough to say in the current macro environment, but has there been any sort of notable impacts on your supply approach or just the overall supply chain?
Neil Cuggy: Yes. Hey Fred, I will start on that one. I would say on the ready-to-cook side, it’s been fairly stable. Like I think there are suppliers that have seen cost increases in their supply chain, and we work with them to try to not pass those along to customers in whatever way we can. Over long periods of time, obviously, the inflation kind of catches up if it all ends up being sticky. But so far, it hasn’t affected any kind of menu or other significant value proposition drivers that we focus and same for the Heat & Eat segment as well. And then I think the biggest piece right now that from a supply chain perspective that we are focused on is helping Genuine Tea scale, as Jon and Ross mentioned in the prepared comments. A couple of other products are really, really doing well. Match is up 100% in Whole Foods and performing well across the other channels that they sell into, so working with them to secure more supply globally for a market that’s growing really quickly. I don’t know, Ross, if you have anything else to add?
Roslane Aouameur: Yes, I think that covers most of it. I think we – when obviously, this flopping on tariffs came about, we looked at our supply chain and make sure that we had, a, secure supply, and b, some clarity on price. I think being mostly local, working with Canadian suppliers, even if they source some of the products in the U.S., they had alternatives. And then when the latest announcements were made that goods covered under USMCA were exempt that covers a decent chunk, not all, but a decent chunk of produce and food-related items. So, I think so far, we have been able to see some good results. And even as mentioned in the remarks, the food cost proportion actually went down during the quarter as we work to source this kind of pushed sourcing to go and explore and make sure that we get the best prices on everything. So, it’s been good so far. I think the markets are relatively tight, but still manageable.
Frederic Tremblay: Thanks. Last question for me on capital allocation, especially with the debenture repayment in shares, I am just curious to see what your current and mid-term capital allocation priorities are. You mentioned M&A and there is obviously another debenture maturing in 2027. So, just wanted a bit more clarity on what you are expecting there in terms of your capital uses moving forward, especially in the current environment where sales and potentially cash flow, there is a bit of a weight there on that, so just your thoughts on that would be helpful. Thank you.
Roslane Aouameur: Yes, I appreciate the question, Fred, and a good one. I think we have always been focused on prioritizing capital allocation based on return profile, be it the internal P&L or some external opportunities. I think we will definitely continue to do that. I think obviously, it is prudent to be extra prudent on cash deployment and capital allocation over the next few months and potentially a couple of quarters to make sure that we have more clarity on the landscape in North America. So, I think we will continue to manage our cash as prudently as possible. With that said, when there is good ROI or great ROI opportunities that come about, I think definitely, we maintain the flexibility to be able to act on them.
Frederic Tremblay: Thanks for taking the questions.
Roslane Aouameur: Thank you.
Operator: And I am showing no further questions at this time. I would like to turn it back to Mr. Jonathan Ferrari for closing remarks.
Jonathan Ferrari: Thank you for joining us on the call, and we look forward to speaking with you again at our next call.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you all for joining. You may now disconnect.